Operator: Good morning and welcome to the CECO Environmental Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Matt Eckl, Chief Financial Officer of CECO Environmental. Please go ahead.
Matt Eckl: Thank you for joining us on the CECO Environmental first quarter 2019 conference call. On the call today is Dennis Sadlowski, Chief Executive Officer, and myself, Matt Eckl, Chief Financial Officer. Before we begin, I'd like to note that we've provided a presentation to help guide our discussion. The call will be webcast along with our earnings presentation on our website at cecoenviro.com. The presentation materials can be accessed through the Investor Relations section of the website. I'd also like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical facts are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in our SEC filings on Form 10-K for the year ended December 31st, 2018. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today, whether as the result of new information, future events, or otherwise. Today's presentation will also include references to certain non-GAAP financial measures. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release as well as the supplemental tables in the back of the slide deck. And with that, I'll turn the call over to Dennis.
Dennis Sadlowski: Good morning and thank you for joining us on our first quarter 2019 call. I'll begin today by highlighting the exceptional execution and solid results for the first quarter along with several customer wins. These customer wins tell the story of CECO's attractive value proposition and market differentiators that are helping us lead in the emerging low-carbon economy. After that I'll summarize the outlook of our generally healthy end-markets. Then I'll hand it over to Matt who will cover the first quarter's financial details. Before taking your questions, I'll offer some initial thoughts on how our team's systematic execution of our 4-3-3 operating strategy has prepared us to invest in growth ideas to accelerate our shareholder value creation. I'll start with slide 3 with a reminder of what we do. In a nutshell, we're building a leadership position in industrial air quality and fluid handling. At CECO, we're providing solutions for a cleaner safer world through reduced emissions of chemicals and particulates to productive fluid handling and process water treatment designs. Ultimately, our biggest target is clean air. We are in the enviable position at the intersection of clean air technologies and energy efficiency with a massive potential going forward. Turning to slide 4, we launched our updated for 4-3-3 operating strategy with a clear value proposition to enable the growth of our industrial customers with clean, safe, and more efficient solutions that protect our shared environment. When the strategy was launched in late 2017, we announced a wide range of commitments and initiatives to fundamentally transform our focus in the way we do business with the premium placed on organic growth. The fundamental components of our 4-3-3 operating strategy featured our four value creation enablers to transform us into a nimble responsive and market-oriented organization; a laser focus on three compelling end markets fueled by the world's undeniable movement to a low-carbon economy; and investments in three core growth platforms providing a sharper focus on a solutions-oriented application development. I've said this before and I'll say it again now, the 4-3-3 operating strategy and its execution has and still is successfully transforming how we do business. It's also paved the way for CECO to become a go-to resource for sustainable solutions and positions us to seize opportunities to invest in growth ideas, to accelerate our customer and shareholder value creation. Now, shifting to slide 5, I'm really pleased to report that the strength and momentum we've built throughout 2018 carried right on over the first quarter of this year led by impressive organic growth in revenues and orders. So, 2019 is off to a solid start as we strive to deliver top-tier returns for our shareholders. Orders jumped to $97 million in Q1, an increase of 34% from Q4 of 2018 and 8% year-over-year. We're confident in our orders trend, because our overall sales pipeline was and remains very robust. The impressive jump in first quarter orders was led by our industrial team who delivered a breakout quarter. It's becoming clear that the transformation of our go-to-market strategy is gaining traction. Together with the excellent execution of our Midstream Energy team, we are back on track for solid growth. I'm also pleased to note two related metrics that demonstrate the impressive performance of our teams across the entire Company. Our book-to-bill ratio in Q1 once again exceeded 1.1 and our organic backlog grew a healthy $20 million or 12% from the same period in 2018. First quarter revenue at $86 million was up from prior year an impressive 27% as the strength of our backlog and continued focus on new orders contributed to strong growth. The first quarter also saw our gross margins return to above 33% levels, as the markets increasingly recognize the value that CECO offers. We're operating in an extremely competitive marketplace, so I have to commend our teams on solid execution. Our adjusted EBITDA remains at a double-digit margin and at $8.5 million, was up a substantial 52% year-over-year as revenue generated excellent flow through to operating income and EBITDA. Our free cash flow disappointed at a $14 million use of cash. As I mentioned before, we view cash earnings as key to generating top-tier returns for our shareholders and believe that it's the strength of our asset-light business model. On the other hand, our cash flow can be lumpy as it is often correlated with customer timing and the project nature of our OE business. The good news is that much of the cash used is in the AR portion of working capital and likely to be collected in Q2. Also note, that we saw a similar cash flow situation during the third quarter of last year and we quickly recovered in Q4. Overall, the first quarter results show that we were fast out of the gate. I'm optimistic that we'll build on this, because we're poised to take advantage of healthy end-markets with our differentiating strengths in engineering, innovative products and solutions and growing reputation as a go-to resource. That's a perfect segue into slide six which draws your focus to three first quarter wins which serve as a proxy for dozens of others that demonstrate the role we play in sustainability and the low-carbon economy. I want to take a moment here to emphasize the low carbon economy, because it represents a substantial opportunity for CECO right now and even bigger one down the road. The low carbon economy dictates that our customers desire sustainable, clean, safe and efficient solutions with innovative cost-effective products and engineering. Likewise, as industrial customers expand they'll require solutions that allow them to have higher commercial output and lower environmental emissions. And finally, this path of economic expansion with sustainability promotes increased usage of natural gas as a bridge fuel with its cleaner burning characteristics and load-following capability in power generation. With all of that in mind, our first notable win involves Peerless selling an integrated complete customer solution for a facility under construction to convert natural gas extracted from the Marcellus Shale to LNG. As you may know, LNG has become an international commodity, as it's a cleaner burning fuel that can be cost effectively stored and transported. Again, it's a critical bridge fuel and its load-following capability makes gas power generation a key enabler of intermittent renewables. The LNG facility will produce an equivalent of gas to power more than a million homes every day even when the sun goes down and the wind stops blowing. The facility will have its own small power plant to convert the extracted gas into the LNG upon which we have designed three SCR systems to reduce CO and NOx emissions. The customer selected CECO based on two major points of differentiation. First, all parties involved with the new facility were seeking an SCR supplier with experience and capability who could deliver on immediate and long-term needs. And second, the customer valued the full solution approach as Peerless teamed up with internal colleagues from Aarding for acoustical controls of the emission system and Effox-Flextor for the thermal expansion requirements. Total solution ownership reinforced our position as a trusted partner. It was a classic trifecta. CECO win involve beating the competition in getting a terrific project. The customer win entails great value and operating performance with a full solution owner and the environment wins big. The Peerless system removes 85 tons of nitrous oxide per year and 3.3 tons of carbon monoxide every year from the power plant's turbine exhaust. Keeping the air clean is what we do. The second win is very exciting for us and our value proposition, because it's with the customer that's on the leading edge of a low-carbon economy. Our customers developed a breakthrough technology that pulls carbon out of the environment and then use it to produce a bio-plastic material that can match the performance of oil-based plastics and compete on price. This customer has at least in a small way for now actually turned carbon from an environmental menace to a commodity with economic value. And by-product and potential emission of this breakthrough process is volatile organic compounds or VOC's which through atmospheric reactions can form harmful ozone and smog. This win for CECO is particularly interesting because the CECO Adwest team didn't have the lowest price solution against some tough competition but CECO Adwest could deliver the most cost-effective solution after listening to the needs of the customer and adapting our concepts with the CECO FKI Venturi Scrubber fit for this specific application. Value won the day and it's helping bring an exciting breakthrough product to market. Third win involved a traditional industrial process of nickel plating by a premium faucet company that was expanding its production line and wanted to filter out expensive chemicals for reuse. In other words, they wanted a clean and sustainable solution. Nickel plating involves the use to very caustic chemicals that require special handling and storage. Process standards and solutions must be exacting given the harsh operating environment. This is yet another case of CECO being a go-to resource for an iconic customer. Because our Mefiag filtration brand is a world leader in corrosion-resistant filters and pumps used primarily in the plating anodizing and metal finishing industries. Our customer had space constraints for the installation of the equipment and required that all filters have backup chambers and pumps to ensure up time for the line. All this added considerable complexity making the engineering task much more challenging. But that's why they came to CECO in the first place. These three examples demonstrate the trust customers have in our strong brands, product breadth, and technical capability to apply semi-customized solutions for unique problems. That in conjunction with the consistent customer support of our global installed base creates real value differentiation in the markets and helps us with the sustainability goals of our customers. Before turning things over to Matt, I'll touch on slide 7 which covers our end market outlook. I'll give you the bottom line upfront. Our end markets are large diversified and generally healthy. Starting at the top with the chart of our Refinery segment the market remains robust with most customers reporting solid profitability with a promising project pipeline. Working counter-clockwise the midstream oil and gas market had a strong first quarter with CECO executing exceptionally well. This segment continues to improve with good activity and opportunities for us in the areas of gas pipeline, LNG, processed water and gas separation. Moving down to Gas Power Gen, I mentioned on our last call that we're seeing some green shoots starting to push through the surface and those continue to progress through the project cycle. Competition will be aggressive for these projects but we're well positioned and very much ready to gain share. I say this with confidence because our team significantly outperformed last year in the depressed market with several brownfield wins. Moving to the bottom of the pie chart, we reduced our exposure in Coal Power Gen to just 4% of CECO revenue as this fuel is simply not consistent with the increasing low carbon economy. In this area, our team remains focused on servicing a large installed base aftermarket. Moving to the right of the pie, both Fluid Handling and Industrial Solutions segments serve a diversified set of industrial customers predominantly in North America. We remain optimistic that the Fluid Handling end markets will continue to grow. Our results have been solid over the last two years and we remain well-positioned with our targeted niche offering in this segment. I'm optimistic we'll see growth from our team. The final slice of the pie is our Industrial Solutions segment serving the air quality improvement needs across a range of production environments. As we discussed last quarter, the permitting process associated with this segment can act as a speed bump and make order flow quite lumpy. We saw that during the fourth quarter of 2018 but just delivered a breakout first quarter. The market remains very healthy and our project pipeline remains very positive. The Industrial team is off to a fantastic start with orders up 52% so far this year. Internationally, we also see growing air quality market opportunity particularly in China and India as their governments become more serious about air quality standards and their enforcement. And in Europe, we have several North American customers asking if we can meet their needs across the Atlantic. So in sum our served end markets are large and generally healthy. We're working very hard to achieve our target of two times the market for growth and I'm confident we have the team in place to deliver that. And with that, I'll turn things over to Matt. Matt, take it away.
Matt Eckl: Thanks, Dennis. I agree with Dennis that there's a lot to like about the way we kicked off 2019. Our strong start was more the momentum from last year. It was skillful execution by our team and leveraging our compelling market differentiators. So let's start with slide 9, which breaks down orders and revenue by sector. There are some interesting points to be made here but none more so than the exceptional execution that has led CECO to outpace the market on orders growth by a factor of two. I'll discuss that more later when I get to our three year financial targets. Orders were up 33.7% sequentially and 7.7% year-over-year. We mentioned on our last call that the market and our sales pipeline were healthy. So it's no surprise but still fantastic news. Industrial orders led the way in the first quarter with compelling win in engineered woods and semiconductor markets. These wins highlight the diversity of our customer base. Account management revamped incentive targets, new business and product development adds and a simplified outside-in organization demonstrates that our transformational efforts are taking shape. Energy orders were up sequentially 20% and down 3% year-over-year. Both Midstream and Power Gen nat-gas were strong in the quarter with refinery lower year-over-year as compared with the big rebound we had in Q1 of 2018. This market is still thriving with a solid pipeline. I continue to be pleased by the growth of our Power Gen orders. Our nat-gas business that continues to take share in a still challenging market that is starting to show improvement. Our Aarding and Peerless teams have been skillful in navigating the longest downturn in thermal Power Gen history. And as Denis mentioned, we appear to be coming through the other end with a variety of new projects maturing in the cycle. On the right side of the page, our robust backlog drove an impressive 27% increase in revenues year-over-year when you look at our ongoing businesses. Sequentially revenue was down by 8.4% on an anticipated mix of customer and project milestones as we execute against our healthy backlog. This brings me to slide 10, our backlog is at a comfortable level to support growth with generally healthy end-markets and a team that continues to execute day-in and day-out. We grew the organic backlog by $20 million year-over-year, an equivalent of 12% improvement. I'm really pleased to emphasize here that our book-to-bill ratio bounced back to 1.1 on a trailing 12-month basis. Turning to slide 11, you see three of our primary profitability measures. It's clear that solid growth coupled with strong execution led to noteworthy year-over-year gain. CECO's gross margin returned to a healthy 33% which was up 1.3 points quarter-over-quarter and down 1.5 points year-over-year on OE and aftermarket and project mix. And we posted a non-GAAP operating income of $7.2 million which was up a substantial 80%, but down 14% sequentially both of which were driven by backlog and volume. Adjusted EBITDA grew 52% year-over-year as our volume and margins continued to expand. At 10% EBITDA margins, we maintain a double-digit EBITDA rate and that's an important threshold for us as we make progress on our 2021 goals. CECO continues to transform how we do business and to reinvest for the future. Our simplification efforts continue to pay-off. In Q1, we closed two more ERPs with just eight remaining. We closed more bank accounts and have moved a 100% of our U.S. accounts payable to our Cincinnati shared service center. All administrative savings are being reinvested back into CECO in the form of brand awareness, employee enrichment training and product development. We're thinking reinvestment serious to catapult CECO past our 2021 targets. Turning to slide 12, when stacked up our first quarter financial results show continued strength and favorable momentum. I want to draw your attention to a couple of financial metrics that I haven't graphically touched upon yet. First, GAAP operating income was down 60% or $7 million from the first quarter of 2018 because of the previous reported gains from the divestitures of Strobic and the Keystone units. Second, non-GAAP diluted earnings per share was $0.12 and up a 140% year-on-year. Volume is the overwhelming driver for the large improvement. Slide 13 shows that we underperformed on cash flow in the quarter. On the left, our trade working capital increased to $48 million. The primary driver was a $20 million increase in our accounts receivable from our energy segment. Similar to Q3 of 2018, we had a series of collectable receivables stretch into Q2 coupled with increased billings pushing AR higher. The right side shows how our AR unfavorably impacted our Q1 free cash flow. Because cash flow can be lumpy and while that's something that's not desirable it is very much manageable. Overall Q1s use of cash is related to timing of accounts receivable and we see no risk of collection. As of April close we've already collected $7 million of the recently aged receivables; and with our business model, I fully expect us to rebound. Moving to slide 14, we have a strong and healthy balance sheet. Measures taken last year to reduce our debt over time coupled with executing our 4-3-3 operating strategy has positioned our gross leverage ratio comfortably at two turns. I'm pleased with the position of our balance sheet. Wrapping up my comments today I'll move along to slide 15 which addresses our progress towards exceeding our three-year financial targets. I encourage you to reference our recently published annual report that notes the commitment CECO's management team has to achieving our aggressive long-term financial targets and align to generating top tier returns for our shareholders. Starting in the upper left quadrant, our goal is to organically outgrow our markets 2x every time. Driven by our Outside-In leadership, we continue to decisively outgrow our markets in orders for the trailing 12-months. Revenue was also now outperforming the targeted green zone. Moving to EBITDA, margins remain in the double-digit space but we still have ways to go. That being said, we're trending in the right direction. Because of the range of investments in our future in the form of marketing, brand awareness, people, training system and innovation it all reflects the results of our ongoing efforts to simplify our organization. Next is return on tangible capital which is a testament to our asset-light operating model. We continue to improve sequentially and are now at 43.5%. Our teams are laser focused on cash earnings on a low asset base. We still see upside in achieving our 2021 targets. Finally on the lower left-hand side is our free cash flow conversion which disappointed in the first quarter and tends to be lumpy. Obviously the long-term challenge that we're taking head on is to execute on this key financial metric consistently which requires repeatable growth, greater aftermarket sales and a smoothing out of our quarterly cash flows. To wrap up, I'm pleased and proud of our accomplishments. We are all determined to take on our challenges and very excited about the immediate and long-term future of CECO. We're a company that's executing its plan and thinking big about growth because our aim is top tier returns. And with that back to Dennis
Dennis Sadlowski: Thanks, Matt. Turning to slide 16, I want to quickly recap our first quarter execution and then look ahead over the rest of 2019 and after that we'll open the call to your questions. The strength and momentum we've built throughout 2018 carried right over into the first quarter of this year. New orders rebounded nicely totaling $97 million with a book to bill of 1.13. Revenue and profits improved significantly year-over-year. At $86 million revenue was up 27% year-over-year. Our gross margins go back to the plus side of the 33% level that we saw for most of last year and we generated a solid quarter of double-digit EBITDA margins. Our end markets remain large, diversified and generally healthy across the board. For the first time in a couple of years, we're seeing some green shoots sprouting in the power generation segment and I like the progress our teams are making to capitalize on the opportunities. As Matt has shared the first quarter saw us make further progress towards meeting our three year financial targets. For the remainder of 2019, we'll be intensifying our attention on investments and growth ideas that are aimed at accelerating customer and investor value creation. In short, we'll be capitalizing on our competitive differentiators in the emerging low carbon economy that is fueling our biggest end markets. We plan to aggressively pursue market share in our large and attractive end markets with air quality becoming a bigger and bigger target. The desire for clean air is clearly a global priority within the sustainability macro trend. Our improving strength and clear focus give us the confidence that we can continue to generate cash from operations to maintain a healthy balance sheet and be prepared to seize opportunities that help us accelerate growth. And finally, we'll be prudently investing in innovative ideas and targeted M&A to improve our leading position in air quality. We have to be ready to meet the increasing demands of our traditional customers and capable of taking on the demands of breakthrough technologies. 2019 is off to a strong start and I believe that it will be an exciting year with accelerated growth and new opportunities. I'll now open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Tate Sullivan with Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thank you. Good morning. And thanks for all the detail. Dennis, you mentioned targeted M&A, does that mean you're mostly done with your portfolio optimization strategy and potential sales?
Dennis Sadlowski: Yeah, if your question is about the current portfolio, we absolutely like the portfolio we have. I think it's given us the focus that we need and you can see that demonstrated in the numbers and the growth and in the returns that we're generating. So as we continue to make progress, generate continued growth in earnings, generate good cash flows what we are looking at is -- how do we continue to build on that go-to resource that will be coming for our industrial and energy customers and where can we add to solving more problems for customers with targeted M&A.
Tate Sullivan: Okay. Thank you. And I'm looking at slide 7 and you provided some context a couple of observations. It looks like on the natural gas and follow-up to earlier comments, it's still flat outlook but maybe slightly improved based on your comment on green shoots is that correct? And then separately, can you talk about the industrial solutions growth and if that's including the different kind of cyclones or similar cyclones to what you do in refineries?
Dennis Sadlowski: Yeah. So I'll start with your question on the end markets. Again, we have a very diversified set of end markets. They're mostly healthy growing. Our pipeline is growing substantially in terms of what's in our sales pipeline. And so we're very optimistic about how things are going. Specifically on power gen, yes, we absolutely are seeing some projects that I mentioned on our last quarter call beginning to sprout through with new gigawatt additions coming through the major players. GE reported an uptick and while the numbers are still relatively small, it's really a good sign that the market is coming back in terms of power-gen. I think your second question was around industrial? And …
Tate Sullivan: The growth in industrial, yes.
Dennis Sadlowski: Yeah, we -- after what was a little bit of a disappointment in the fourth quarter the team just blew it out this quarter new orders on several key wins across a variety of market segments, continuing to restructure and focus that -- the Group in total to be a full solution provider across the gamut of our product offerings there that largely address air quality in the industrial production arena all around the world.
Tate Sullivan: Okay. Great. Thank you very much. I will hope back in the queue.
Dennis Sadlowski: Thanks, Tate.
Operator: Our next question comes from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Good morning, Dennis. Good morning, Matt.
Dennis Sadlowski: Good morning, Amit.
Matt Eckl: Good morning, Amit.
Amit Dayal: On the booking and backlog front, was this largely industrials that drove the bounce back? And going forward, do you think industrials will continue to remain stronger versus maybe the other segments or do you see sort of power-gen or maybe others picking up some of the backlog sort of going forward?
Dennis Sadlowski: Yeah. So over the last resurgence and focus on organic growth, I think we're getting good traction across all of our teams. The market that we're looking at it can be a little bit lumpy, both in industrial and the energy end markets. But both teams are very active, very visible in the market and doing the thing. It was a fantastic bookings quarter for the industrial team. I have to say kind of a breakout. It's kind of double almost what we've seen in some other parts of the activity in prior quarters. Can we continue to hit that? I'm not sure exactly hit those numbers, but we're looking at a larger pipeline better execution have added people and focus. So, we're still very optimistic that we'll continue to get good output from all three of our segments.
Amit Dayal: Yeah, that was what I was going to ask next, Dennis. Organic order growth was 34% sequentially, do you think this may be sort of one-off for this quarter, or maybe trends at similar levels or at least sustained levels could come through over the next few quarters?
Dennis Sadlowski: Yeah. So, you know, what I think the -- if I say the simple message is that the markets are still large, they're growing, we've said before, maybe at slightly slower rate than in prior year in some. But we are seeing those pockets in the power-gen market of opportunities. So, I think that we are looking at a very good market and with the team continuing to execute, I have nothing, but optimism for our ability to continue to drive the growth trend that we've laid out ahead of the company. At least for the near-term, we're seeing a lot of good activity. It's always a little bit -- on the project side of the business a little bit lumpy. So hard to specifically say when and where individual orders might come in, but we're getting good follow-up on our aftermarket teams as well. So, I'm pretty pleased across the board.
Amit Dayal: Can you talk a little bit about how sales resources have been halved into say the industrial and power-gen segments which are almost 50% of revenues in 1Q versus the other segments?
Dennis Sadlowski: Maybe I didn't understand your question. Was it -- what kind of resources are we shifting into the growth areas there?
Amit Dayal: Your focus on -- yeah, is there a bigger focus on say power-gen and industrial from a sales efforts perspective versus the other segments, or are you just seeing more traction in these segments from your results -- from your efforts?
Dennis Sadlowski: Well, I think across the board, over the last 18 months, we have continued to drive simplification and try and do so in a way that takes G&A out of the business and then reshape that and invest that into market facing activities, those are both people, account management, sales training, marketing, both digital and active face-to-face marketing programs; and all of that is giving us better visibility in getting our sales teams then more at that. And quite frankly, they're very good, very deep with their application capability and we had a number of good closers. So all of that is where we're shifting -- have shifted resources from kind of back office to front, that we think is helping drive the organic growth. We are actually now in a way, where with that outside-in approach, with more customer contact, also reshaping that for what is tomorrow's needs and looking at innovation and ideas as to how we also develop new products that can help tomorrow's customers as well and making some ads, as you heard, maybe in the past, with the new CTO, adding some other resources there on the product side, in order to make sure that we have a good strong future and beyond what we're seeing in today's market activity.
Amit Dayal: Understood. That’s all I have, guys. Appreciate it. Thanks so much.
Dennis Sadlowski: Yeah. Thanks, Amit.
Operator: [Operator Instructions] At this time, there are no further questions. And this concludes our question-and-answer session. I would now like to turn the conference over to Denis Sadlowski, Chief Executive Officer of CECO Environmental. Please go ahead.
Dennis Sadlowski: Well, thanks again for joining the first quarter call. In closing today's call, I'd like to give a shout out as well to the hundreds of CECO associate, especially Jeremias Schreyer and Kevin Deters for leading the effort, who are part of our CECO C.A.R.E.S Earth Day initiative a few weeks ago. We had 25 teams from 25 locations in six countries give their personal time to work on environmental sustainability projects from planting trees to cleaning up nature parks and beaches. We worked hard, we had some fun and we made a difference. Their efforts speaks volumes about the culture and genuine commitment to CECOs mission of enabling industrial companies to grow with clean, safe and more efficient solutions that protect our shared environment. It was a great quarter. We're pleased with the results and I look forward to speaking with all of you again next quarter.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.